Operator: Good afternoon and thank you for joining the First Quarter 2019 Earnings Conference Call for Herbalife Nutrition Ltd. On the call today is Michael Johnson, the Company's Chairman and CEO; John DeSimone, the Company's Co-President and Chief Strategic Officer; Dr. John Agwunobi, the Company's co-President and Chief Health and Nutrition Officer; Alex Amezquita, the Company's Senior Vice President of Finance, Strategy and Investor Relations; and Eric Monroe, the Company's Director, Investor Relations. I would now like to turn the call over to Eric Monroe to read the Company's safe harbor language.
Eric Monroe: Before we begin, as a reminder, during this conference call, we may make forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those discussed or anticipated. For a complete discussion of risks associated with these forward-looking statements in our business, we encourage you to refer to today's earnings release and our SEC filings including our most recent annual report on Form 10-K and quarterly report on Form 10-Q. Our forward-looking statements are based upon information currently available to us. We do not undertake any obligation to update or release any revisions to any forward-looking statement or to report any future events or circumstances or to reflect the occurrence of unanticipated events except as required by law. In addition, during this call, certain financial performance measures may be discussed that differ from comparable measures contained in our financial statements prepared in accordance with U.S. generally accepted accounting principles, referred to by the Securities and Exchange Commission as non-GAAP financial measures. We believe that these non-GAAP financial measures assist management and investors in evaluating our performance and preparing period-to-period results of operations in a more meaningful and consistent manner, as discussed in greater detail in the supplemental schedules to our earnings release. A reconciliation of these non-GAAP measures to the most comparable GAAP financial measures is included in our earnings press release submitted to the SEC. These reconciliations together with additional supplemental information are also available at the Investor Relations section of our website, herbalife.com. Additionally, when management makes reference to volumes during this conference call, they are referring to volume points. I will now turn the call over to our Chairman and CEO, Michael Johnson.
Michael Johnson: Good afternoon, everyone, and thank you for joining us on our first quarter 2019 conference call. As you saw from our press release today, we delivered net sales growth in 4 of our 6 regions, which included year-over-year growth in 7 of our top 10 countries. Our geographic diversity is an asset that helps us deliver these results, and geographic diversity is uncommon in the nutrition and direct selling industries. While we had significantly lower-than-expected results in China in quarter one, we reported the highest first quarter volume points in the Company history. The Chinese government recently concluded a 100-day review of the health products industry. This review had an impact on both the Company and our service providers' ability to host meetings in normal gatherings. During the last six months in 2018, attendance at activities hosted by service providers that were preapproved by the respective local government was approximately 650,000. This includes approximately 330,000 attendances at activities related to Nutrition Clubs. These type of meetings and activities were essentially unavailable during the 100-day review. In addition, many normal smaller nutrition club gatherings which do not require local government approvals were put on hold during this health products review. The good news in the short term is that the normal club activities have begun, and the local government approvals for meetings in the month of May are ramping up since the 100-day review was concluded. Also the good news in the long term is that together with our service providers in China, we will take this opportunity to implement strategic initiatives we believe will result in our business being less dependent on meetings. Without the impact from China, we would not have reduced our guidance for the full year, and we are pleased with the positive momentum of our business globally. Turning now to the U.S. where we continue to see strong results with net sales increasing 11% compared to the first quarter of 2018. This is the fifth straight quarter of year-over-year sales growth. The resilience in growth of the U.S. is reflective of our strong consumer-based business. We are also encouraged by the overall broad-based strength of our business, which is driven by an opportunity worldwide to provide better nutrition in people's lives. We have a global team of dedicated distributors and employees whose enthusiasm, passion and commitment to Herbalife Nutrition has never been greater. All of us are working every day to propel the Company toward the future and continue to enhance value. Now let me hand this over to Alex, John and John, who will talk in more detail about our results.
Alex Amezquita: As Michael highlighted, we experienced net sales growth in 4 of our 6 regions and 7 of our top 10 countries. However, first quarter net sales of $1.2 billion was relatively flat on a reported basis compared to the first quarter in 2018. Excluding China, net sales increased 6% compared to the prior year period. Volume points for the first quarter 2019 were approximately 1.5 billion, which represented an increase of approximately 6.1% compared to the first quarter of 2018. This is the largest first quarter volume point result in the Company's history and represents the fourth consecutive quarterly volume point record for the respective quarter. We reported a net income of approximately $96.3 million or $0.66 per diluted share. Adjusted earnings per adjusted diluted share were also $0.66. Note that our reported and adjusted results include expenses related to the China Growth and Impact Investment Program of approximately $0.7 million that were excluded from our guidance. The impact of currency fluctuations represented a year-over-year headwind of approximately $0.11 on results for the first quarter, $0.03 more than what we assumed in our guidance primarily related to changes in country mix of earnings. Reported gross margin for the first quarter of 79.4% decreased by approximately 20 basis points compared to the prior year period. The decrease was primarily driven by the impact of foreign currency fluctuations and changes in country mix, which were partially offset by the favorable impact of retail price increases, lower inventory write-downs and favorable cost changes related to self-manufacturing and strategic sourcing. First quarter 2019 reported and adjusted SG&A as a percentage of net sales were 37.1% and 35.9%, respectively. Excluding China member payments, adjusted SG&A as a percentage of net sales was 29.4%, approximately 30 basis points higher than the first quarter 2018 primarily driven by our investments in technology and particularly a shift to cloud-based infrastructure. Our first quarter reported effective tax rate was approximately 28.9%, and our adjusted effective tax rate was 26.2%, which was lower than our expectations primarily due to the impact of discrete items, including approximately $2.4 million of excess tax benefits from the exercise of equity grants. As Michael mentioned earlier, our first quarter results in China fell below our expectations. The Chinese government's 100-day review of our health products had an impact on our business, namely, we and our service providers were unable to hold our standard business meetings and our nutrition club operators faced increased scrutiny that created an overall hesitation in their activities. The 100-day review period ending on or about April 18, and we expect to ramp up meetings in May, as Michael already stated. Without the impact from China, we would not have taken down our guidance for the full year. Fortunately, we have a growth and investment fund in China, which we'll utilize to advertise and promote our business in China over the next few months to help our distributors recover from the impact of the 100-day review. John will speak more about the strategic plans in China shortly. Now let me share the updated guidance. Worldwide volume point guidance for 2019 has been updated to a range of 0.5% to 6.5% growth. Net sales guidance for the full year has also been updated, and we are now expecting a range of down 1% to up 5%. This range is reflective of the volume point adjustments and country mix as well as a 210 basis point impact from foreign currency fluctuation, which is 40 basis points unfavorable compared to prior guidance. Full year reported diluted EPS is now estimated to be in a range of $2.19 to $2.64, and adjusted diluted EPS guidance is expected to be in a range of $2.50 to $2.95. Full year reported and adjusted diluted EPS includes a currency headwind of approximately $0.26, a $0.04 increase from the $0.22 included in our previous guidance, excluding the impact of Venezuela. Our effective tax rate guidance remains unchanged at 29% to 33% on a reported basis and 27% to 31% on an adjusted basis. For the second quarter 2019, we estimate volume points to be in a range of down 1% to up 5%. Net sales are expected to be in the range of down 3.5% to growth of 2.5%, which includes an approximate 340 basis points currency headwind versus the prior year. Second quarter reported diluted EPS is estimated to be in a range of $0.53 to $0.68 and adjusted diluted EPS to be in the range of $0.65 to $0.80. Reported and adjusted diluted EPS include a projected currency headwind of $0.08 compared to the second quarter of 2018, excluding the impact of Venezuela. Our effective tax rate guidance for the second quarter is 30% to 34%, while the adjusted effective tax rate is expected to be in a range of 27% to 31%. I will now turn the call over to John DeSimone.
John DeSimone: Thank you, Alex. Today, I'll be sharing an update on our regional performance. The strength of our U.S. business continued in the first quarter with volume increasing by 9% compared to the first quarter of 2018 and net sales increasing by 11%. This is the fifth straight quarter with year-over-year volume point growth and the sixth straight quarter with accelerating volume point trends on a 2-year stack basis. The volume point value test we began last year on a few products benefited the comparison in the quarter by approximately 160 basis points. I think there's something special about the strength of Herbalife that's illustrated by the ability of the U.S. market to not only overcome the challenges of the past few years but to build it better and thrive. The thing that's special about Herbalife is that our distributors and the Company work together to always build it better. We have a collective purpose. Our products saw the real need for the consumer, and together, we can overcome almost anything. While the comparisons are obviously getting harder, the foundation of the business in the U.S. is strong, and distributor movement up the marketing plan is equally strong. Turning to Mexico. Volume points grew by 1%. This is a little bit below our expectations. One of the reasons was the implementation of a 2% price surcharge we instituted during the quarter to mitigate the impact of tariffs enacted by the Mexican government in 2018 on products imported from the United States, which are applicable to a significant portion of our product line. This surcharge actually results in a 4% out-of-pocket increase for our distributors and has impacted their business slightly. Importantly, there's reason to believe that these tariffs could partially or fully be eliminated in the near future as new trade agreements are worked between the U.S. and Mexico. The Asia Pacific region reported a 29% year-over-year increase in volume points, which was the fifth quarter in a row, the region has set a new all-time record high volume point performance. In a moment, Dr. Agwunobi will provide additional details on India, one of the region's growth drivers. But I want to highlight a few other markets we're excited about. Indonesia's volume was up 26% in the quarter and has continued to strengthen by focusing on a customer-based business and daily consumption through Nutrition Clubs and training activities supported by increased product access points in this expansive market. Vietnam continues to show strength as volume grew 54% year-over-year in Q1. As I mentioned on previous calls, Vietnam's sales in the quarter were benefited by distributor activities in advance of new regulations that were partially implemented in Q1 and additional regulations expected to be implemented in Q2. And finally, in South Korea, we had growth in the market for the second straight quarter. Turning to EMEA. The region grew volume points by 11% in the first quarter, taking the number of consecutive quarters with growth in EMEA up to 36. The volume point increases in the quarter were very broad-based, reflecting, we believe, efforts to enhance the quality and activity of sales leaders including member training, brand awareness and product line expansion as well as enhanced technology tools for ordering, business performance and customer retailing. The growth in the period was led by Spain, South Africa, Turkey and the United Kingdom. Finally, circling back to China, in the near term, we are encouraged by the new meeting approvals that are coming in. Additionally, we are implementing initiatives to reduce our reliance on meetings in the long term. Namely, we are improving the economics to service providers with a focus on enhancing the profitability and activity of Nutrition Clubs to allow for smaller footprint clubs. We are also working on a new technology platform that we hope to launch in Q3. We have narrowed our partner choice in China to lead the digital transformation to either Alibaba or Tencent. I will now turn the call over to Dr. Agwunobi to provide an update on India and to share some strategic highlights in the quarter.
Dr. John Agwunobi: Thank you, John. 2018 was an amazing year, and as you've just heard, we're off to a strong start in 2019. I'd like to take a moment to provide an update on one of our growth markets, share some of our innovation related to our product strategy and provide an update on our marketing plan achievements. Over the past few years, we've demonstrated exceptional growth in India. Since Q1 of 2016, India's volume point increased at a 3-year compounded annual growth rate of approximately 35%. And compared to Q1 of 2018, India's volume grew over 47% year-over-year. There are several factors that we believe are contributing to this performance. First, we continue to broaden our presence in the market, adding product access points including pickup locations in additional cities. The number of access points in India has increased to 742 in the first quarter of 2019 compared to 454 in Q1 of 2018. This includes third party drop-off points, which have increased over 75% in only one year to 651 in Q1 of '19 versus 368 in Q1 of '18. This increase in our product access ensures our products quickly reach the hands of our distributors and improve customer satisfaction. We continue our focus to expand access points in Tier 2 and in Tier 3 cities to improve delivery time lines. The underlying distributor metrics we see in the market give us confidence India will continue to see future growth. The activity rate of Sales Leaders in Q1 of 2019 increased approximately 7% compared to the prior year, up to approximately 63%. And our most recent annual supervisor retention rate was 61.7%, a record high. And it improved from 54.7% in the prior year. We have also continued to see steady growth in our preferred customer segment in India. With over 52,000 new preferred customers in Q1, a record high and a 29% increase compared to the prior year. Additionally, we continue to expand our product line and have demonstrated success in localized products and flavors in India. Last year, we discussed the Formula 1 kulfi flavor, similar in taste to a popular Indian frozen dairy dessert that exceeded launch sales expectations. We are pleased to see this product continue in popularity and has now become our #2 selling SKU in India, satisfying the local flavor palate of the Indian consumer. In the first quarter of this year, we launched a probiotic sachet in the market. This product can be conveniently added to a shake, aloe or a tea, and it promotes the growth of beneficial bacteria in the intestines for those who want to maintain a healthy digestive system. A healthier microbiome. It is specifically formulated with a shelf-stable probiotic strain that can survive the acidic gastric passage to germinate in the intestines, not in the stomach like so many other common probiotics. Outside of India, during the first quarter, we launched some exciting new products around the world. In the U.S., we introduced the select line extension of our top-selling Formula 1 meal replacement shake as well as the first ever Select version of our protein drink mix. These new offerings help us attract new customers who seek clear labels and ingredients and are more natural and easy to recognize. The Select product addresses these consumers' desires with benefits such as alternate plant-based proteins with pea, quinoa and rice, non-GM and vegetarian ingredients, no artificial flavors, sweeteners or added colors, and they're nondairy and gluten-free. Additionally, our data shows these consumers spend more money with us. This is the second Formula 1 product in the Select platform following the Q3 2018 launch in Australia and New Zealand and in addition to the PRO 20 Select which we launched in EMEA. Before the Q&A, I'd like to highlight that we continue to see incredible distributor engagement. On top of the tremendous marketing plan performance in 2018, which included two new distributorships qualifying for our prestigious Chairman's Club, we continued this progression with 2 new Chairman's Club qualifiers already in 2019. It's remarkable that we've had 4 Chairman's Club qualifiers in less than 1 year, which is 4x the average of the prior 3 years. We are grateful for the hard work and the relentless passion our distributors and employees bring each and every day to make Herbalife Nutrition the premier nutrition company in the world. I'm proud of what we've done together, and I'm confident in our bright future. Now, this concludes our prepared remarks. Operator, please open the lines for questions.
Operator: [Operator Instructions] Our first question is from the line of Tim Ramey from Pivotal Research.
Tim Ramey: John, am I right in understanding that Nutrition Clubs were essentially dark in China in the first quarter or during the 100-day period?
John DeSimone: I mean, that's a good way to think about it. I wouldn't say exactly dark, but a lot of their normal activities were, I'll say, prohibited. But prohibited means it wasn't legally prohibited but it was recommended that gatherings just don't take place during this review. And those gatherings aren't just meetings that the government has to preapprove. It was meetings of all sizes. And again, this was not a direct selling review. It was a health products review. And our Nutrition Clubs aren't even direct sellers, right, but they are smacking down in the middle of the health products. And so they actually had a number of government visits to clubs, a couple of hundred, I believe, just early on in this and it was nothing major that came out of it, just that the kind of result was a hesitation from clubs to do anything.
Tim Ramey: Got it. And as you probably saw, Nu Skin had pretty good growth in customers but really based on their digital efforts in the 1Q. Would you -- you mentioned new digital tools becoming available in the 3Q in China. Would you say that you're -- I don't want to say late to the party, but you're behind the curve a little bit there and have some catching up to do?
John DeSimone: Well, yes. I guess I'd first say we have a focus on clubs in China, as you know. And there's a huge amount of benefit that comes from clubs. For this particular episode, that wasn't the case. But in general, clubs are a big asset in China. Having said that, balance is needed. Our technology platform was entirely based on selling to service providers and to sales reps and not a platform of which their customers can order from us. And that's the partnership we're dealing with, either Alibaba or Tencent. We're in negotiations right now. So that is something that we're now keeping in mind, we don't have the benefit of skin care to kind of move away from health products during this episode like Nu Skin did. But other than that, there was definitely some learnings out of this, and I think our key takeaway was we need to create balance and we're not as reliant on meetings and gatherings in the future.
Tim Ramey: And just finally, is there anything odd that I need to think about for SG&A, ex China member payments? I guess you mentioned some spending there, but also just what was the impact of the slowdown in the China business on member payments? Was it commensurate? Was it kind of ratable?
Alex Amezquita: Tim, thanks for the question. So it was ratable. So the SP payments that we make as a percentage of the sales in China, that ratio didn't materially change. So you'll see it come down pretty significantly when you go through the Q, and you can see the numbers there. As a percentage, it's about the same.
Operator: And our next question is from the line of Doug Lane from Lane Research.
Doug Lane: So trying to understand the numbers here. The first quarter was largely in the middle of your range, volume points and EPS. So the issue is not so much the first quarter, it's that you entered the second quarter with very little momentum in China. So you're allowing yourself some time period to recover that momentum coming out of the 100-day review. So I guess my question is, is it just a second quarter thing or do you think it will take the remainder of the year to get China reramped?
Alex Amezquita: Doug, thanks for the question. So we do think that we'll return to growth in China in 2019. The timing of that is a little uncertain, right? So we're seeing some positive momentum from the government in improving meetings in that market, but there's still uncertainty towards how that will translate into getting back the business as normal. So we're still in a little bit of a wait and see to see how fast it comes back, but we do anticipate at some point to be back in growth mode in 2019.
Doug Lane: Right. And you're coming at it from a perspective of literally 2 weeks since the review period ended. Is that right?
Alex Amezquita: Exactly. Exactly.
Doug Lane: So very early days. Okay. And just one last thing. Can you give us an update on...
John DeSimone: Sorry, if I can just add. It's -- while it's even -- you might say it's 2 weeks since that ended, the meetings all start in May. So it's actually 1 day since any meetings have taken place, right, because once the 100-day period ended, then we start applying for permits. And those permits started allowing for meetings to start yesterday.
Doug Lane: Okay. So there's even a lag from that. So, okay, we really are in the early days of it. Okay. I get it. All right. Just lastly, can you give us an update on the CEO status? Is there any kind of timing goals? How far down the path have you gone? Or Michael, have you moved back in and this will be it for a while?
Michael Johnson: I'm fully moved back in, much to probably distress and the happiness of some of my team members here, but -- no, we don't have an update on that yet. We've got a lot of work to do. As you saw from China, we are completely focused on building the Company. I'm focused on succession. I'm working with John and John here very, very closely to make sure that we've got a really strong team built for the future here. So we'll give you an update at the right time on that, Doug. Thanks for the question.
Operator: And our next question is from the line of Beth Kite from Citi.
Beth Kite: So I was wondering if we could begin with talking about a little bit of what's been spoken to so far in the Q&A but around local currency sales growth for the full year and then so much as the range expanding from 4 points to 6. Is that totally a function of China and just giving yourself more flexibility there? Or are there any other markets that drove that?
Alex Amezquita: So both the update to guidance and widening of the range is predominantly because of China. There we don't -- had it not been for the impact of the 100-day campaign, it's unlikely we would have updated guidance -- we certainly wouldn't have updated guidance down and the range would probably have been more at the historical levels.
Beth Kite: Got it. So I could take then -- or could you speak to, I guess I should say, do you still feel confident now that we're 2 quarters in with South Korea, posting growth year-over-year 2 quarters in a row? Are you more worried about Brazil? It seems like that had a pretty bad quarter. And then in the U.S., can you speak to the growth there? And was it -- it looks like Preferred Member growth was good. Was it Preferred Member growth? Was it the Iced Coffee launch? Was it a few things in total? Could you just talk us about those 3 markets, please?
John DeSimone: Yes. So Korea was growth, right? It's not only grown for the executive straight quarter, it's accelerated double digit. We just had some executives down in Korea meeting with distributors over the weekend, working on initiatives to enhance the growth. And so I think it hit the levels which it can now build and increase sustainable businesses over the long term. Not that it won't be spiky. Growth usually is in this business. But we're quite pleased. And actually, another shout-out to all of Northern Asia for us because Taiwan also grew in the quarter. Brazil, Brazil has been a challenge for a long time. I think the key opportunity for us is segmentation, which launches, I believe, later this month.
Michael Johnson: Yes, Extravaganza.
John DeSimone: Extravaganza this month launches, segmentation in Brazil. So Brazil was down but it was down like we expected it to be down. No surprise in Brazil, and in the U.S., good strength across the board. When I look at not just the financial numbers but all of the nonfinancial metrics that we track around new members in terms of volume points, preferred Members, comembers, Sales Leaders with volume points. Everyone's in the black. They're all very strong. And I think most impressively for us, and this is really unique to those that know us well, is tremendous moving up the marketing plan. Now having said that, Q2 comps get tough for the U.S., right? But the broad-based strength across the U.S. is something we're quite proud of. And I think our distributors deserve a lot of credit for overcoming everything they had to endure.
Beth Kite: Great. And I have kind of one more on the U.S., one more question, if I may. That is, did the new POS tool or the enhanced POS tool roll out to the distributors per plan in April.
John DeSimone: Yes. So it rolled out and it's ramping up. So it rolled out but it rolled out in a coordinated fashion to not -- so we can test the system and not overload it. So it wasn't a big bang. I think it rolls out to everybody in May 18. But it rolled out to a controlled group in April. And then I'm equally excited about the customer app that is the second launch of the Nutrition Club tool that launches at Extravaganza where customers will be able to order their product before they even show up at the club, similar to the way I do when I go to Starbucks in the morning.
Beth Kite: Perfect. And then if I may, I'd like to go back to China. Can you remind us at this point how much in total you received in the China grant money, I think you got some more this particular quarter 1Q '19? And then how much you spent back of it. I feel like that's a fairly small amount that's been spent back so far. Is that right?
Alex Amezquita: Yes, that's right. So we received this quarter an additional $21 million from the China grant income. And as you know, we carve that out. We've spent this past quarter about $0.7 million. So obviously, with the 100-day impact, it was a little unclear about where that spend -- what we would do. I think going forward, there is a lot of the ad and promo spend to get past the 100-day impact. I think we'll be doing significantly more spending in the future. And in total, that brings the growth in investment fund to about $135 million.
Beth Kite: Got it. With the vast majority of that though still yet to be used.
Alex Amezquita: With the vast majority available. That's right.
Beth Kite: Okay. Perfect. One question on the P&L. For the full year, it was nice to see the operating margin expansion in this quarter. Do you expect -- understanding that you want to spend a lot back in some markets like Brazil and China, but are you expecting operating margin to continue to expand as you go through the year?
Alex Amezquita: So a little bit of that will be dependent on how fast China comes back. China, as it is a smaller percentage of our net sales this quarter actually was a bit of a headwind to us on gross margin and operating margin. As that comes back, that should give a bit of a benefit to operating margins. So a little bit of that answer will just depend on how quickly China does come back.
Beth Kite: Great. And one last one. On converts due in August, I understand -- I assume we're still waiting for a decision on whether to refinance or to pay that off. If you do refinance, would the objective be here in '19 or into '20, to use the cash, assuming you'd have quite a bit at that point of $1 billion, to use that for buybacks?
John DeSimone: Yes, Beth. This is John. I'll take that. So in kind of bullet point form, first we are comfortable with our current leverage ratio, we've said that for a long time. From a timing standpoint, we may pay off the debt in August, and our plan is to do that. And at some point in time, we'll finance either before or after depending on the circumstances. And the entire purpose of all of that capital structure is to buy back stock. We have $1.5 billion buyback program. I think we've bought, I don't know, probably close to $5 billion over the last 12 years since they started. That's what we believe the appropriate capital structure is for this company and that's the likely use of the cash.
Operator: [Operator Instructions] Our next question is from the line of Hale Holden from Barclays.
Hale Holden: Just two questions. Just as a follow-up on the converts, the current plan is to hold off on stock repurchases until you find a solution for the converts. Is that -- that's still correct, right?
Alex Amezquita: Well, the priority has always been to be in a position to pay off the converts until we refinance or if we refinance. And if we decide to refinance, then at a later date, we'll lever back up. And that's been the priority.
Hale Holden: Okay. And then just as a follow-up on China. If you sign an agreement with BABA or Tencent, does that change your selling margin structure in the market at all?
Alex Amezquita: No, I don't anticipate a change in the margin structure by signing a deal for a platform that allows our sales reps in terms of one of these customers to order directly from the Company on their behalf. I don't anticipate that having any meaningful impact on margin. I'm sure the development cost -- I mean if you kind of roll in the development cost, it might. But that's still -- we do have $130-plus million in China from this growth initiative fund that we can use to invest in this platform.
Operator: And at this time, I'm showing that we have no further questions. I'd like to turn the call back over to Michael Johnson for closing remarks.
Michael Johnson: Thanks. And thanks, everyone, for being on the call. I'm looking at my notes that John and Alex prepared for me for the call here, and the experience back in the Company of a quarter that's actually pretty sensational, net sales of $1.2 billion; growth in 4 of the 6 regions; year-over-year growth; 7 of the top 10 markets; 1.5 billion of volume points, the highest quarter in Q1 in the Company's history. It's up 6% over 2018 first quarter and our fourth consecutive record quarter. So those are all really good. Those are fantastic. But we understand the focus on China, and we are focused on it. We'll get through this. Thank God our business is global. We know our products are great. Our employees and distributors are passionate about what we bring to the marketplace. And we are all confident about Herbalife. We're confident also that we'll get through this in China and we'll see better days ahead, so looking forward to seeing you. With that said, it's back to work and we'll see you next quarter.
Operator: Ladies and gentlemen, this does conclude the conference. We thank you greatly for joining us for Herbalife First Quarter 2019 Earnings Conference Call. You may now disconnect.